Operator: Good day, everyone, and welcome to Gannett's first quarter 2007 earnings conference call. This call is being recorded. Due to the large number of callers, we will limit you to one question or comment. We greatly appreciate your cooperation and courtesy. Our speakers today will be Mr. Craig Dubow, Chairman, President, and CEO; and Gracia Martore, Executive Vice President and CFO. At this time I would like to turn the call over to Gracia Martore. Please go ahead.
Gracia Martore: Thanks, Sheila, and good afternoon. Welcome again to our conference call and webcast to review Gannett's first quarter 2007 results. Hopefully you have had an opportunity to review the press releases from this morning, which also can be found at www.gannett.com. With me today are Craig Dubow, Chairman, President, and CEO; and Jeff Heinz, Director of Investor Relations. Since many of you heard our presentation at the MEANY luncheon a few weeks ago and quite a few other media companies reported this morning, we will keep our comments brief. Craig will begin this afternoon with an update on our strategic initiatives and provide an overview of our results for the quarter. I will then follow-up with some more specific details.Craig Dubow: Thanks, Gracia and good afternoon to everyone. As Gracia mentioned, we gave you a comprehensive update on the progress of our strategic initiatives at the MEANY presentation in mid-March. Briefly, we are moving ahead on a number of our strategic efforts. The rollout of the information center is proceeding as planned and will be completed at our domestic publishing operations in the next few weeks. Around the rest of the company, similar efforts are underway. Our properties that have implemented the information center are developing new ideas to attract audiences. We continue to experience strong forward momentum on our mom sites. For instance, as you may recall, our mom sites are devoted to all things for working and stay-at-home mothers. Our first sight was indymoms.com in Indianapolis. We will be rolling out additional mom sites in two waves and should have 30 sites up and running by June 1. We are extremely encouraged by the results. A large majority of the mom's traffic is going to the discussion forums and we're seeing steady and increased growth on the sites plus in Indy for example, over 30 new advertisers are on board with web and print ads. The lesson here is that successfully engaging a desired demographic is leading to more advertisers online and in print. We are applying that to other areas as well. Databases continue to be an effective way to bring traffic to our sites. In Brevard, their site which they call Watchdog, includes searchable databases that has proven to be very popular. More visitors are staying on the site for a longer period of time and we are working to connect advertisers to that wider audience. Most importantly, the sites that have been through the information center transformation are seeing steady and increased growth in traffic, which translates to a wider audience. This, in combination with our audience-based selling efforts, is working well to attract new advertisers. We are becoming smarter about our niche sites and connecting them with the right demographic and geographic audience. Additionally, some of the ideas supported by our center for innovation are moving to the next stage of development. As we have suggested at the MEANY luncheon, we are expanding local search and local ad capabilities and building mobile capacity at Gannett Digital. Let me comment briefly on our progress with the ad network. We continue to talk with multiple parties about the ad network and how it should be constituted, focusing on issues of governments, content, and exclusivity. These are issues that we believe have not been satisfactorily resolved in the agreements currently under discussion. We are open to talking with anyone, but are interested in crafting the right solution, not necessarily the quickest solution. We are committed to the concept of an industrywide ad network, one that does not compromise the value of our content that is fair and open to all and has reasonable governance structure and allows all parties to make deals with other providers as they see fit. On March 3, we relaunched the USA Today.com site. We saw a substantial increase in traffic and registered users. The site saw a 380% increase in registrations. Readers are also spending more time per visit on the site as well. Unique visitors on the sites were up 21% for February. Clearly, our readers are connecting more with USA Today.com. One component of our strategic plan is to enhance the core, our traditional media segments, while optimizing our footprint of our properties. Last week we announced the sale of four of our newspapers in Utica, New York; Norwich, Connecticut; Huntington, West Virginia; Rockford, Illinois, for $410 million. We want to thank all of our employees of these newspapers for their hard work and dedication over the years. These papers were stand-alone properties and in some cases under our ownership would have required substantial capital investment for new equipment. We expect to close on the sale by month end. Now turning to our results for the quarter, as you saw, Gannett earned $0.90 per diluted share, at the high of the guidance we provided you in mid-March. Our reported operating revenues for the quarter totaled almost $1.9 billion and we generated operating cash flow of roughly $472 million. The first quarter presented a number of challenges for us. Results were impacted by a variety of factors that led to a challenging advertising environment. A softening real estate market, particularly in the South and West, tempered ad demand; and severe winter weather in the Midwest and Northeast held back advertising. In addition, our domestic community newspapers faced the toughest year-over-year comparison of the year, particularly for real estate and employment. The shift of the final week in December 2006 impacted the first quarter. We also had to overcome the absence of more than $22 million in Olympic revenue in our broadcasting segment; yet with all of those challenges, our total operating revenues were down only slightly, less than 1%. On a pro forma basis, our total operating revenues were down slightly over 1%. On the same basis, newspaper advertising revenues for the quarter were down almost 2%; local advertising was up slightly while national and classified were both down in the low to single mid-digits. In the classified categories at our domestic community newspapers, real estate and employment were impacted by the softening real estate market and tough comparisons. Auto continues to be soft. Stabilization continues at Newsquest and they achieved their first quarter of year-over-year revenue growth since the fourth quarter of 2004. Growth in the classified categories, the largest contributor to revenues, drove the gain. USA Today's advertising revenue was down for the quarter, reflecting softness in some key categories and the absence of Olympic-based revenue that benefited the first quarter of 2006. 2007 marks the 25th anniversary of USA Today and they will be including a number of features to showcase that milestone. As expected, our broadcasting segment faced the absence of significant ad demand driven by the Olympics; however with the addition of the two new stations in Denver and Atlanta and healthy revenue growth from Captivate and Online, broadcasting posted a slight revenue increase for the quarter. We are very focused on the digital side of our business and continue to drive gains across our segments. Companywide online revenues were up 16%. Our domestic newspapers were up almost 12%, even with the fall off in print revenues in our classifieds verticals. Newsquest was up 55% in pounds and broadcasting had an increase of 36%. In March, our domestic websites had 23.1 million unique users and reached 14.6% of the Internet audience. In the UK, Newsquest online audience totaled 4.8 million unique visitors with over 70 million page impressions. CareerBuilder network revenue advanced 20% compared to the first quarter of 2006. Traffic for the network averaged 21.7 million unique visitors for the first quarter. With that, let me turn the call over to Gracia.
Gracia Martore: Thanks, Craig. Before we go into detail on our quarterly results, I need to remind you that our conference call and webcast today may include forward-looking statements and our actual results may differ. Factors that might cause them to differ are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures and we have provided a reconciliation of those measures to the most directly comparable GAAP measures in the press release and on the investor relations portion of our website. As Craig mentioned, there were a number of factors that had an impact on the quarter. Beyond the cyclical factors in terms of year-over-year comparisons, we benefited from the increase in the Sterling/U.S. dollar exchange rate on the revenue side. However, that created a commensurate headwind on the expense side. Finally, the increase in non-operating expense reflected in part the absence of the gain of the sale of our piece of the Cincinnati Reds last year. Let me drill down a little deeper into our results, starting with the newspaper segment. Overall as you saw, pro forma newspaper segment ad revenues declined 1.8% for the quarter. In the UK, ad revenues in pounds were up 1.4% while in the U.S. ad revenues declined 4.8%. Local advertising revenues were up 0.6% on a pro forma basis. For our U.S. newspapers, we achieved gains in the health, restaurant, telecommunications, and office supply categories. This was offset by declines in some of our larger categories: department stores, furniture, and consumer electronics. The classifieds categories, as Craig mentioned, were soft in the quarter, particularly for our U.S. community newspapers, which also faced the toughest year-over-year comparisons in the first quarter. On a pro forma basis, real estate and employment were about 11% and 8% lower in the quarter at our domestic community newspapers against gains of 22% and over 7% respectively last year. The South, especially the Sun Coast and the Far West, were particularly soft as the weakening real estate market sent ripples through those local economies that negatively impacted both real estate and employment. Auto advertising remains soft as Craig mentioned, although we are seeing some success with multiplatform advertising solutions aimed at the used cars market. Turning back to real estate for just a moment, a recent article on the housing slump highlighted the softness we are seeing in our Pacific and Florida properties. According to that article Arizona, California, Florida, and Nevada -- the chief beneficiaries of the housing uptick -- are expected to be disadvantaged disproportionately from the housing slump. Since late 2005, existing home sales fell over 30% in Florida and Nevada; and in fact over 20% in Arizona and California, all places where we have a meaningful presence. The article went on to say that the slump not only impacts the labor situation in these markets, but also the spending on big-ticket items such as cars and home furnishings which were being financed by home equity loans. Specific examples were that 30% of California new car purchases and 10% of Florida's were financed with home equity loans in 2006, compared with just 7% nationally. Clearly this is reflected in our results in those four states. Real estate and automotive losses in these states were double what we experienced in all other Gannett properties and on the employment side, we saw results in those four states lagging last year by over 20% while the rest of our community newspapers experienced a lag in the low single-digits. This housing cycle -- and it is a cycle -- will also pass, but we can’t predict when. But when it does, we will be well-positioned to capitalize on those better revenue results. Turning to national advertising, USA Today's ad revenues declined almost 8% for the quarter, due in part to the absence of Olympic-related revenue. Travel made a solid come back in the quarter, as did the restaurant category. Softness in the entertainment, auto and tech categories offset the gains, however. In the UK, total revenues in pounds were up 1.8% for the quarter as classified revenues, particularly the critical real estate and employment categories, were both in positive territory, in pounds. Newsquest benefited in the first period from the calendar shift, but we are encouraged by their results. Operating leverage has taken hold and costs have been well controlled, resulting in NIBT -- again in pounds -- for Newsquest being up almost 14%. Moving to the broadcasting segment which includes Captivate, revenues were up slightly on a reported basis, reflecting the addition of the two recently acquired stations in Denver and Atlanta, revenue increases of almost 17% at Captivate and a 36% increase in online revenue that offset the absence of substantial Olympic revenue. Total revenue growth on a pro forma basis in the segments was down 6.3%. The latest television pacings for the second quarter of '07 point to revenues being down in the very low single-digits compared to last year. With respect to the pacings, please keep in mind that there was approximately $9.5 million in net political revenue in the second quarter of 2006, not a number we anticipate repeating in the second quarter of 2007. Those are the projections for this week and the numbers can be volatile, as you know. As always, we will keep you updated through our monthly reports. Now let's turn to our expenses, a place again where we have kept a close eye on the costs we can control. Reported expenses for the company were up about 0.6% for the quarter and would have been essentially flat on a pro forma basis. In the newspaper segment, reported expenses were also flat for the quarter. Reported and pro forma newsprint expense were both up slightly as a 7% increase in newsprint prices offset an almost 7% decline in usage. Bear in mind we are on a FIFO accounting basis for inventories while many of our industry colleagues are on a LIFO basis. The currency translation that I mentioned earlier also impacted this area. As well in the UK, newsprint pricing for the year will be up a little over 5% in pounds as that market has different pricing characteristics than the U.S. market. Absent the UK in fact, our newsprint expense would've been down a little over 2.5%. Taking all of these factors into account, our pro forma constant currency newspaper cash costs, excluding newsprint, would have been down a little over 2%. One further comment on newsprint: newsprint prices retreated at the start of 2007 and that trend continued through the first quarter. The supply and demand imbalance has been more acute than anticipated. Consequently, producers adjusted Gannett's longer-term price arrangements to reflect the competitive realities of the marketplace. We will, however, remain watchful for solutions that temper pricing volatility over the long term. On the broadcasting side, reported expenses were up about 7% reflecting primarily the additional expenses associated with the TV stations we acquired in the third quarter. On a pro forma basis, broadcast segment expenses were up less than 1%. Stock-based compensation awards accounted for all of the increase in reported corporate expense. We did not make stock awards to about 25 senior executives in 2006. Awards were given in the first quarter of 2007 and we will look at future grants for those executives in the first quarter of subsequent years. For the full year of 2007, we expect stock-based compensation to be flat to down compared to 2006. Touching briefly on some of our balance sheet items, total debt at quarter end stood at $5.5 billion and cash and marketable securities were $644 million. On April 2, the first day of the second quarter, we had $700 million of long-term debt maturity. We prefunded a substantial portion of that payment by borrowing in the commercial paper markets in the last two weeks of March and invested those borrowings at a positive spread, which resulted in $525 million of marketable securities on the balance sheet at quarter end. On April 2, we liquidated the marketable securities, paid the $700 million maturity, and total debt was reduced from $5.5 billion to $5 billion where it stands today. At this point, our all-in cost of debt is 5.42% with commercial paper at 5.39%. Turning to capital expenditures, they totaled approximately $29 million and we believe we are on track to be within the budget of $200 million for the year. With respect to shares outstanding, finally, our basic shares at the end of the quarter were 234.5 million, and the quarterly average was 234.6 million. We repurchased a little less than 200,000 shares late in the quarter, as several potential investment opportunities resolved themselves. Now we will stop and Craig and I will be happy to take your questions.
Operator: Your first question comes from Lisa Monaco - Morgan Stanley.
 Lisa Monaco - Morgan Stanley: I was just was wondering, Gracia, if you could comment on the cost performance going forward for the newspaper division? Costs were much better than we expected and I just wanted to see how sustainable that is going forward. Thanks.
Gracia Martore: Thanks, Lisa. Looking at our friends first in Newsquest, as you know over the last two years they have been challenged by a difficult revenue environment and the management team there, led by Paul Davidson, did a terrific job restructuring and consolidating and really rationalizing the expense structure there. They have continued to be very careful on the expense side into this year, so we would anticipate that we will continue to see them appropriately size the expense side to the revenue opportunity. Turning to the U.S. newspapers, obviously we would anticipate that we will see some help in future quarters from the newsprint side, additional help on the newsprint side as we are, as I mentioned, on a FIFO basis, so given inventory levels, the real impact of that will not be felt until the second, third and fourth quarters. We would also anticipate that our U.S. domestic newspapers will continue to focus on the expense side and size it appropriately to whatever the revenue opportunity is out there.
 Lisa Monaco - Morgan Stanley: Just on the proceeds that you will receive from the announced newspaper sales, what are your expectations for the use of proceeds? Thanks.
Gracia Martore: Well, clearly in a short term we will simply take the proceeds in and repay debt with them. But obviously there are a number of investment opportunities we continue to look at. You saw that we dipped our toe back into the share repurchase market towards the end of March and we would anticipate that you may see us doing further share repurchases in the second quarter. So short term, very short-term debt repayment, but intermediate to long term, redeployed into other investment opportunities.
 Lisa Monaco - Morgan Stanley: Can you just give us a sense for how you're looking at the share repurchase opportunity versus the acquisitions or other means of investment? Thanks.
Gracia Martore: Well, as we have historically said, whenever we are looking at an acquisition or an investment opportunity, we run our models against what that would mean in terms of a share repurchase opportunity, taking into account what we think we can do with that acquisition or investment opportunity both from growth on the revenue line as well as potentially expense savings. Then we see a way which would make the most sense for us to increase shareholder value. So we will continue obviously to reflect that kind of decision-making going forward.
 Lisa Monaco - Morgan Stanley: Lastly, just on the dividend, I assume by the lack of mention of a potential dividend increase, that is currently not on the table?
Gracia Martore: Well, the only reason why I did not mention it is because normally that is taken up in our July board meeting and I never like to preempt the board. However, as we have been saying for the last several months, we are open to all uses for our free cash flow. We have not ruled anything out. We just have to weigh the investment opportunities against share repurchase opportunities against the dividend. As you know, we have increased our dividend every year since we were a public company. Last year, we increased it 7% and that is a topic for ourselves and the board in the coming months.
 Lisa Monaco - Morgan Stanley: Thank you.
Operator: Your next question comes from Craig Huber - Lehman Brothers.
 Craig Huber - Lehman Brothers: Concerning your TV station division, I was just wondering if you have any plans of potentially selling that or maybe spinning it off?
Craig Dubow: Craig, as we look at it right now, we are I think in a tremendous sweet spot with the political that is forthcoming, certainly, as we go into '08 and with a number of other opportunities that we are seeing at this point. In general, we see that will create and continue to create good value for the company and we're very pleased with the direction that we're heading with our duopolies and certainly would look for that as we go further into the future as well.
 Craig Huber - Lehman Brothers: How much consideration have you done about doing a potential large-sized Internet acquisition over the next 12 to 18 months?
Craig Dubow: I think as you know, we will look at anything that is out there, Craig; there is no question about that. The real particular piece to it is do the economics make real sense for the company? But there is nothing that is a hurdle in front of us right now that would preclude us, other than we need to find what the appropriate opportunity might be.
Gracia Martore: If you have something in mind for us, Craig, that you know reaches our hurdles, please give us a call.
 Craig Huber - Lehman Brothers: I'm not a banker. A last minor question. Can you comment on the multiple you received from the sale of your four small papers?
Gracia Martore: What we have indicated on that, Craig, is that revenues out of those properties were in the $115 million to $120 million range and they had cash flow margins in the very, very low 30% range.
 Craig Huber - Lehman Brothers: Thank you.
Operator: Your next question comes from Fred Searby - JP Morgan.
 Fred Searby - JP Morgan: Thank you. I wondered if you could talk about specifically how Newsquest's online operations are doing in the UK vis-a-vis Monster and just generally and CareerBuilder's efforts abroad internationally? Secondly, on another note whether you have rethought the historic only looking at English-speaking markets, whether you have rethought that and thought about international expansion, notwithstanding the obvious media restrictions in some of those markets?
Craig Dubow: First off with respect to the online operations, we are seeing some very good traction in the UK and this past period here, we have been up in the plus 50% range with them. With respect to Fish4, which would be the CB equivalent in the UK which we participate in, we have also seen some tremendous growth from that perspective as well. I would certainly anticipate that will further itself as we go along within the year. With respect to the past discussion on English-speaking markets, there have been a number of opportunities over the years and we have made a few determinations. We will look at anything, but again, we want to be able to evaluate the products on as fair a basis as we can and what we have found is that for those that are English-speaking, certainly it is a far easier comparison and that probably is a direction that will continue as we go into the future.
Gracia Martore: Just to add one thing, Fred, with regard to Fish4, Fish4 is a clear number one in the employment category sites in the UK, far surpassing Monster and any other career sites there. As to CareerBuilder's international expansion, I think that is certainly in its nascent stages, however, they have done a couple of recent small acquisitions in Sweden and in the Netherlands to expand upon their international efforts. So I think that you'll see that continues to be a thrust for them as well as a continued thrust to be the clear number one here in the U.S. in every metric.
Fred Searby - JP Morgan: Thank you.
Operator: Your next question comes from Stephen Barlow - Prudential Equity Group.
 Stephen Barlow - Prudential Equity Group : Gracia, what is the run rate of annual revenue of the two Connecticut newspapers you're buying and the run revenue rate of the two TV stations you bought in the third quarter last year?
Gracia Martore: With regard to the SCNI papers, I think it's probably a little premature for us to discuss that given the most recent issues there with the labor unions. So as we get closer to resolution there, we will be happy to share those numbers. With regard to the two television stations, Jeff will call you back later, but they were small stations from a revenue perspective. We're not talking significant stations there, but Jeff will give you a holler back with more specific details.
Operator: Your next question comes from Paul Ginocchio - Deutsche Bank.
 Paul Ginocchio - Deutsche Bank: Craig, maybe you can just give us some more color, you made some comments about some of the issues maybe with joining the current newspaper consortium. I think you mentioned governance and some other issues. If you can just maybe, for those of us who are a little slower, spell out a little bit more what some of the issues are? Thanks.
Craig Dubow: Number one, we are not suggesting first of all that we have made any hard decisions from any direction. We are most committed, as I said earlier, really to the concept of an industry wide ad network. We think that is of tremendous value. But what we don't want to do is put ourselves in any kind of position that could potentially compromise, really, the value of our content. Additionally, we just want to make absolutely certain that it is fair and open to all. From that I also want to be able to see how this works with other networks as well. We want to the very clear that there are opportunities to work in a multitude of networks. We think this is a good opportunity. So for those reasons, we are very interested in obviously learning more as we go along, but from a content and exclusivity standpoint, we want to be very, very protective of what we have. So we will continue to work, as you know with Tribune on our network and I would just say this: that at this point with more than some 37 million unique visitors to our websites, we are well set at this point, but certainly would look to continue to expand that.
 Paul Ginocchio - Deutsche Bank: I guess it sounds like it's sort of exclusivity deal and that sounds like maybe an issue for you. Is that fair to say?
Gracia Martore: Certainly as Craig was saying the exclusivity part of it, also I think as Craig mentioned, the governance aspect. We continue to do our homework as to what exactly the governance is of various groups and how that would play out and that is not, as Craig mentioned earlier in his remarks, specifically clear to us in any of these ad networks thus far.
 Paul Ginocchio - Deutsche Bank: Just because of your ownership of Discovery Planet, does that preclude you from doing anything?
Craig Dubow: No, no, it does not in any way, but that is at this point, just so you know, fully rolled out across Gannett at this point. But no, there is no hurdle there whatsoever.
Operator: Your next question comes from Alexia Quadrani - Bear Stearns.
 Alexia Quadrani - Bear Stearns: Could you give us any sense on how USA Today is trending in the second quarter? Then on the community papers, are you expecting any negative impact in the month of April from the earlier Easter holiday this year?
Gracia Martore: With regard to USA Today, I think that they have seen some pickup on the advertising. I know it is a little bit similar to what we saw last year in that 2006 started out on a slow note and then each quarter got successively better and then the full year was a nice up year for them. So the first quarter started off a little slow. They've seen some campaigns that they were anticipating might break in the first quarter actually breaking in the second quarter. So they are a little bit more I think optimistic as we enter the second quarter that we will see some pickup there. As to the community newspapers, given that the last Sunday before Easter was in the first quarter, whereas it was in the second quarter last year, we may see some of the preprint revenue could have been realized in the first quarter versus the second quarter. We'll just have to see how April plays out and add the two together as we always suggest you do to get to the neutralizing the impact.
Alexia Quadrani - Bear Stearns: On the Newsquest properties, has the rebound been across all properties or is it isolated to certain areas?
Craig Dubow: You know what we are seeing still really the greatest headwind is still in the London area and in Scotland. Across the other properties, however, we are seeing the small pickup that we're seeing that's really translating, but those are the two key areas of concern, Alexia, at this point.
Operator: Your next question comes from Karl Choi - Merrill Lynch.
 Karl Choi - Merrill Lynch: A question on divestitures; knowing that you always look to optimize your portfolio and looking at recent decisions to divest the four papers, I just wondered if we should expect some more this year as you look at your geographic location of your properties?
Gracia Martore: We have nothing on the drawing boards at this moment, Karl. Obviously with regard to those four properties we got attractive offers and so it led us to decide that basically that given that they were standalones and have some capital expenditure needs that we would have to take a hard look at, that they made sense to divest. But nothing right at the moment on the drawing boards.
 Karl Choi - Merrill Lynch: Following up on Alexia's question on the UK, without the calendar shift in the second quarter that you enjoyed in the first quarter, do you think you actually maintained the positive momentum in terms of gains in advertising revenues in the second quarter at this point?
Gracia Martore: We'll just have to see how the second quarter plays out. I think that we have continued to make progress each quarter and there will be some categories, as Craig said, in Scotland and in London that will be a bit softer, but then there are others that will be partially offsetting of that. But we'll just have to see as the quarter progresses where that takes us.
Operator: Your next question comes from Peter Alpert - Goldman Sachs.
 Peter Alpert - Goldman Sachs: Gracia, the cash cost down 2% is very impressive. Do you think you can hold it at something close to that level through the balance of ‘07?
Gracia Martore: We will take it one quarter at a time, Peter, and obviously it will be dependent on where we see the revenue picture going. If the revenue picture perks up in the second half of the year, then we would expect that expenses would be commensurate with that kind of a revenue pickup. But clearly we will have the benefit on the newsprint side that should ramp up during the course of the year. Certainly through the second quarter we would anticipate strong cost controls in place across the company, but then we'll just have to see how the revenue picture unfolds.
 Peter Alpert - Goldman Sachs: On the newsprint, can you tell us what the actual contract prices are today versus a year ago, just the percentage change, to understand better than what the flow-through benefit might be in the subsequent quarters?
Gracia Martore: I can't really obviously speak to prices, Peter.
 Peter Alpert - Goldman Sachs: Sure you can.
Gracia Martore: But then Craig would be very upset with me. What I can tell you, though, is that clearly newsprint expense will continue to ratchet down. It was about flat this quarter. We would expect it to be each successive quarter lower than the last quarter.
 Peter Alpert - Goldman Sachs: Have you locked in any price agreements at this point?
Gracia Martore: As I mentioned in my remarks, we have agreements in place for the first six months, but the producers, recognizing market realities, have made sure that they have kept our prices competitive.
 Peter Alpert - Goldman Sachs: It looks like the sale of the four newspapers could be dilutive -- if I'm doing this right -- to earnings by maybe $10 million or $20 million. Does that sound right?
Gracia Martore: That's probably in a reasonable ballpark, depending on what you assume the proceeds are used for. If you assume in the short-term they are used to pay down debt, that is probably about right.
 Peter Alpert - Goldman Sachs: Okay and then last thing, just to be sure I understand, the TV pacings number you are offering sort of low single-digit decline, that's meant to be pro forma, right? To incorporate the acquired TV stations in the prior year number?
Gracia Martore: Yes, that's apples to apples.
Operator: Your next question comes from Edward Atorino - Benchmark.
 Edward Atorino – Benchmark: With your debt down $5 billion and if you pay down some, the run rate for the year might be in the low 60s or the mid 60s on a quarterly basis?
Gracia Martore: In terms of interest expense? Yes, assuming that we simply used all of our free cash flow to pay down debt, that is right. However, that is clearly not necessarily the right assumption, but we do share repurchases and we do acquisitions and investments on an opportunistic basis. So there is no way to really forecast in when those events are going to happen. But if you simply were to assume, which obviously is not the case, that we would use it all to pay down debt, then your numbers are probably in the ballpark.
 Edward Atorino – Benchmark: Except they are wrong so I will have to come up with a new number.
Gracia Martore: Well assume whatever you would like.
 Edward Atorino – Benchmark: I understand, thanks a lot.
Operator: Your next question comes from Leah Pilla - UBS.
 Leah Pilla – UBS: Hi. I was just wondering if the proposed Tribune transaction would trigger any change of control covenants in the various joint ventures you have?
Gracia Martore: They would not. As they presently are being reported, they would not trigger any change in control provisions in those documents.
 Leah Pilla – UBS: Thank you.
Operator: Your final question comes from Harris Hall - Singular Equity Research.
 Harris Hall - Singular Equity Research: Thank you. Just trying to get a sense of what your online revenue run rate is. I thought I head you say earlier it was $400 million in a prior presentation. Is that about right?
Gracia Martore: No, what we indicated was that it was a little over $400 million last year and I think we shared our online revenue run rate growth this year. So you could look at it on an annualized basis at the moment to come up with a ballpark, but obviously that changes quarter to quarter.
 Harris Hall - Singular Equity Research: So for 2006, the last year, it was a little bit over $400 million?
Gracia Martore: Yes, exactly. Of course that doesn’t include revenues generated at the CareerBuilder or classified ventures that remain in those entities which are not consolidated.
 Harris Hall - Singular Equity Research: So that is just the part that…
Gracia Martore: Is consolidated into our P&L.
 Harris Hall - Singular Equity Research: So that is just the part that's in broadcasting or does that include the local newspapers and their websites?
Gracia Martore: No, that would include Newsquest, our local community newspapers, and Broadcast.
 Harris Hall - Singular Equity Research: Okay also in your release, you broke out television revenues as a part of broadcast revenues. What is the difference there? Is that the Captivate revenues?
Gracia Martore: It's Captivate.
 Harris Hall - Singular Equity Research: So the Captivate revenues are about $5.8 million then?
Gracia Martore: Captivate revenues are about $5.8 million. Let me just quickly take a peak here and see if I've got that in front of me.
 Harris Hall - Singular Equity Research: Well I have got that because the release said total broadcasting revenues were $183 million and television revenues were $177 million.
Gracia Martore: Then that would be the difference.
 Harris Hall - Singular Equity Research: The difference is Captivate?
Gracia Martore: Yes.
 Harris Hall - Singular Equity Research: Great. Then lastly, have you heard anything from your advertisers in terms of them leaving broadcast TV for cable TV? Obviously that's kind of a bigger industry trend and I'm interested in what you're hearing from your current advertisers.
Craig Dubow: No, that is not something that we have been hearing. I know from just this past week having spent out at NAB, we are feeling very good with respect to broadcasting. We certainly are anticipating the political that will be coming up for the presidential and other elections, but I have not heard anything like that.
 Harris Hall - Singular Equity Research: Thank you very much.
Operator: At this time I would like to turn the conference back over to the speakers for any additional or closing remarks.
Gracia Martore: Thanks very much for joining us today. If you have any additional questions, please feel free to call Jeff Heinz at 703-854-6917 or me at extension at 6918. Thanks very much for joining us.